Unknown Executive: Good morning, everyone. Welcome to 2025 Results Conference Call. First, let me introduce our management. CEO, Khun Pratthana; CFO, Khun Tee; Chief Enterprise Business, Khun Phupa; and Chief Retail Business, Khun Prapat. Khun Nattiya and myself also joined this call and will be briefing you to the results and running this session. At this moment, please allow our CEO to give an opening remark.
Pratthana Leelapanang: Good morning, everyone. I would like to take this opportunity, firstly, to address the very most recent incidents of the misuse of AIS corporate Internet from one of our corporate customers. You may already seen our formal disclosures, but I would like to really emphasize that we take this matter very seriously. We view this matter as a reminder of our responsibilities as a national digital infrastructure provider. While this is one of the isolated incidents, we are using it to really strengthen our internal processes and technologies to enhance the capabilities of detecting, preventing and monitoring, in order to make sure that we protect our stakeholders properly. Governance, integrity and trust remain at the core of our business that we run. Safeguarding our reputations, trust from the investor, as well as public are our priorities, and we will continue to invest in that what I'd like to address as the first part. Secondly I'd like to say that we do expect that the market will be pleased on the capital return we deliver, or rather surprised and pleased the capital return we deliver. I would like to reiterate that AIS is not about maximizing our short-term cash return. We are building sustainable digital infrastructure business with scale and financial strength. Our capital reallocations, I'd like to put it, reflecting our confidence in long-term business growth with a strong cash flow and balance sheet. We will continue to invest in leadership, grow responsibly and return capital only if it strengthens long-term shareholder value. So that's the second piece I really like to address here. Lastly, I'd like to address our business direction going forward. This year forward is about laying foundations of AIS's next road chapter. Beyond the connectivities, we are expanding our capability in network intelligence, advanced IT, and very important digital backbone of data centers, cloud and AI. With all of these foundation components, we truly believe it will support AIS to capture new opportunities across consumer, businesses, and expanded digital ecosystem. So that's in brief what I'd like to start with. Thank you.
Unknown Executive: Thank you very much. Now let me begin with a short brief and going directly into Q&A. At this time, you may also reserve to ask the question through the chat box. Please type your name and corporate name. So firstly, we delivered this year with a strong and resilient performance, supported by growing customer demand and solid content proposition to upsell our existing base, amid the modest economic recovery. In mobile, growth momentum remained strong, driven by rising data usage. In the latest quarter, the data consumption exceeded 34 gigabyte per subscriber. This is up 16% year-on-year. The 5G adoption continued to be a key driver, reaching 17.9 million subscribers or 38% of our subscriber base, growing nearly 50% year-on-year. The broadband service continued to grow steadily with subscribers exceeding 5.2 million and ARPU at THB 530, both were up more than 4% year-on-year. Take note that the net add was softer in this latest quarter due to temporary resource allocation to support the flood relief efforts in the Southern Thailand. The Enterprise business delivered double-digit growth, supported by strong connectivity demand. Our data center business through GSA is progressing as planned. The 01 is already commercialized, and 02 and 03 are expected to be ready by 2027, bringing total capacity close to 200 megawatts. The retail sales grew 15% year-on-year, driven shop renovation, stock training and better channel and product mix. Our virtual bank initiative is also progressing well with commercialization targeted within this year. With the above, we exceeded the upper end of our guidance for both core service revenue and EBITDA, driven by strong operating performance and efficiency. The net profit was THB 47.9 billion up 37% year-on-year. The normalized profit was THB 46 billion, excluding FX impacts and onetime tax item related to tax loss carryforward utilization. This is up 32% year-on-year. Our performance remained strong with good momentum from 2024. The Board approved an ordinary dividend of THB 15.30 per share, representing a 95% full year payout ratio. In addition, the Board also approved a onetime special dividend of THB 19 per share, paid from retained earnings to unlock shareholder values. The ordinary dividend remains our priority, aligned with the earnings growth. The rationale for unlocking the special shareholder value is based on 3 key considerations. First, we have strong visibility on growth and cash flow generation across our businesses, even after accounting for necessary investments to sustain leadership and build long-term digital foundations. Secondly, we remain committed to maintain prudent leverage and an investment-grade credit profile while preserving financial flexibility for future opportunities. Third, this visibility allows us to optimize the balance sheet and return excess capital to shareholders without compromising financial discipline. Importantly, our dividend policy remains unchanged with a minimum payout of 70% of NPAT. And again, the ordinary dividend continues to be our priority. Let us put this into the context. Operating cash flow is approximately around THB 100 billion, with expectations to grow alongside the business. The annual investments are around THB 50 billion, covering CapEx, current and future spectrum and JV investments. This would result in the free cash flow approximately THB 50 billion to THB 60 billion after investment. With improved cash flow visibility and strong leverage profile, we see an opportunity to unlock shareholder value through balance sheet optimization while preserving our investment grade rating. This optimization is executed in a favorable interest rate environment to support our investment requirements while the special dividend is funded from operating cash flow, which remains a dynamic over time. We expect the leverage to gradually decline with improved performance while maintaining room for financial flexibility. Turning briefly into sustainability. We received an MSCI ESG rating AA. This places us the ESG leader category. AIS is the only Thai telecommunication company to achieve this MSCI rating. In addition, we also received a AAA ESG rating from the Stock Exchange of Thailand, the highest level, reflecting clearer development plans, strengthened supply chain practice, enhanced stakeholder engagement, and this is in alignment with strong corporate governance standards. Looking ahead in 2026, we guide core service revenue growth of around 3% to 5%. The EBITDA growth of around 2% to 4%, and the CapEx investment excluding spectrum of THB 30 billion to THB 35 billion. The growth will continue to be driven by connectivity demand across consumer data usage and enterprise digital connectivity. The higher expense and CapEx are deliberate investment to build foundations for midterm and long-term growth. The CapEx increment reflects a new investment phase. This is aligned with the anticipated growth in data consumption and long-term network quality leadership with year-on-year increase primarily reflecting higher mobile network investment. Beside network modernization, we also emphasize on IT enhancement for customer stickiness while this would lay a strong foundation for future revenue growth. The allocation within the CapEx is approximately 55% to 60% mobile, around 20% broadband, 10% enterprise and 15% for IT and others. Before we move to Q&A, I would like to remind you our upcoming event for which invitations have been -- already been sent. If you have not yet registered and would like to attend, please kindly confirm your participation by today. The online session will be arranged for overseas participants and the access link will be sent following the confirmation. With that, we are happy to take your questions.
Unknown Executive: Please be reminded that you may reserve to ask the question through the chat box with your name and corporate name. And also please limit your questions to 3 per round to allow others to also participate. We have the first one from Khun Pisut from Kasikorn.
Pisut Ngamvijitvong: Congrats on your record breaking results and dividend. Pisut from Kasikorn Securities. I have 3 questions for this round. The first one is about the core revenue growth guidance, which basically comes down from 7% last year that you achieved to 3% to 5% this year. Just want to know that, I mean, the key reasons why the growth is coming down, that's coming from the competition, it's going to be more intense or the economy, which is quite subdued, which 1 is going to be weaker in your perspective? And also from the 1-month operation that's passed -- just passed, what do you see about the revenue momentum from the previous quarter? My second question is about your EBITDA growth guidance. Why the growth also came down from 9% last year to 2% to 4% this year, and why the magnitude of the growth target of 2% to 4% go below the core revenue growth of 3% to 5%. I understand that you mentioned about the initial loss from the new venture that you may have booked in the share of profit, probably from virtual bank data center. But if you're stripping out share of profit from your associates, is it possible for your 2026 EBITDA to grow faster than your core revenue growth, and also from the operating leverage effect? My last question is about your tax loss carryforward. In the note, you have remaining tax loss carryforward of about THB 15 billion, which could save tax about THB 3 billion spreading over 2 to 3 years. If I am correct, could you please confirm about this couple of numbers? And what's your plan to utilize most of it?
Nattiya Poapongsakorn: Let me take the question on guidance. I think overall, if you look at our total guidance from revenue to EBITDA and CapEx, we're trying to say to the market that we're actually looking for new growth areas. In the past few years, a lot of our growth has been built in with more rationalization of the competition within the market. Going forward, we need to build a lot of new foundations for new growth areas. However, going into 2026, especially now at the beginning of the year with the Bank of Thailand and many houses announces the GDP forecast, we've also seen that consumer sentiment and the potential spending and the underlying economic growth of Thailand may seem to be on the low side, likelihood somewhere lower than 2%. So I think that's the main concern we may have and reflected on the 3% to 5% in terms of the revenue growth. Rather than the issue around competition, I think for the past year and also in the fourth quarter, we have not yet seen anything that put us in a concerned mode in terms of the competition. Fourth quarter may not be the best quarter to reflect in terms of the growth partly also because in terms of fixed broadband, as you see, the net add has been a bit slow because we were mobilizing our effort to address the southern flood for quite a long period of time. But we expect some of that growth to be able to resume within this year. On the EBITDA guidance, as I mentioned, because we now want to establish new growth initiatives, whether it's in the IT system, you see that we are now having more diversified business portfolio going into building a stronger retail distribution channel across online, offline. A lot of that will require that we advance or modernize many parts of our internal IT system. Plus another thing that we have started last year was on the entertainment business, which covers the sports and entertainment content. So this year, we are also looking forward to be selective in some of the key strategic contents that we want to continue building our brand, perception and customer engagement. So with all of that, we do see that some of the building foundation will incur costs within 2026, and that's why the EBITDA guidance is landed slightly lower than the revenue growth. Another point would also be that in the past 3 years, we did integrate 3BB with AIS operation. So you see some of the early cost savings from the integration effort, which would be mostly done for 3 years period. Last question on the tax loss remaining amount. I don't think we can say how we plan. But yes, as we disclosed in the notes to financial statement, those are -- there are the schedule of the tax loss to be expired within each year. So I think our intention is continue to build the broadband business as a single operation entity and making profit. So with the entity making profit, we'll be able to utilize the tax loss.
Unknown Executive: Now we move to Khun Wasu from Maybank, please.
Wasu Mattanapotchanart: So 3 questions from me. The first question is about the projection of net debt to EBITDA on Page 28. My question is regarding this chart of the declining net debt-to-EBITDA is that have you factored in any more special dividend in that projection? And what is your assumption of payout ratio in that chart? So that's the first question. The second question is about the forward-looking of the net debt to EBITDA. Let's assume that AIS pay special dividend every year, and the net debt to EBITDA stays in the range of 2 to 2.5x, will AIS be able to keep the credit rating with S&P? So that's the second question. And my third and final question is regarding Page #6 of the slide. It is mentioned that CapEx budget will be 15% of the total revenue in the medium term. My questions are, how long is the medium term? And will the CapEx budget go up or down after the medium term?
Nattiya Poapongsakorn: Thank you for the question. On net debt to EBITDA forecast that in corporate how we see the business growth and upcoming investment we need to make across different businesses, including the spectrum. On special dividend, we would like to emphasize again that this is a one-time nonrecurring capital return. We execute this because at this point in time we see a low interest rate environment. And we see that we have accumulated a fair amount of retained earnings to be able to return this capital to the shareholder. And this leads to the retained earnings number -- post this distribution of dividend, you will also see that the retained earnings remaining would be fairly minimal. So it comes back to the point that this special dividend is really a onetime that we restructure or optimize our balance sheet to be at a more efficient level. On the credit rating, as you see, because we have looked into that. So I don't think we have any concern around the credit rating. The last question on the CapEx level, which is 15% of revenue in medium term. I think when we talk about medium term, basically, we look across the technology. Right now, we would say that we're approximately may be in the mid-cycle of the 5G. So I think we have a pretty solid idea of how much in terms of 5G capacity is needed in each year, given the forecast of the traffic growth from consumer point of view, embedding in with the AI. If there are more AI use case for the new 60 technology upcoming, you see that normally in those new cycle there may be a period of time where the CapEx as a percent of revenue may increase. And then afterwards, I think it should -- for us it should come down to more of a normalized level.
Wasu Mattanapotchanart: So how long is the medium term? How many years?
Nattiya Poapongsakorn: I think for us 3 years outward is a fair outlook we see -- even that we haven't seen the 60 technology becoming materialized in the next 2 years.
Unknown Executive: Now we could have Khun Thitithep from KKPS.
Thitithep Nophaket: I have 3 questions. Number one, do you think that you have to adjust the long-term strategy given the big change in the shareholder of your competitor, True? Number two, is it fair, both you and True suggest that the payout ratio has become more aggressive than a year ago. Do you think it's fair to say that it's a suggestion that the mobile phone business in Thailand is reaching a situation of becoming a mature stage. And that's why there is no need to be aggressive in reinvestment in the mobile phone business? Number three, your payout ratio, including special dividend, it's rather aggressive like you said you don't have any [ return ] left after the payment. But then you did say that you are in the process of laying the foundation for new growth. Do you have to reserve some cash in order to invest in the new growth areas?
Pratthana Leelapanang: Let me address the strategy piece. We are very firm on the strategy we are taking especially the expansions of the digital infrastructures from mobile, 5G, to broadband and to the enterprise of which it expanded into data centers, cloud and AI. And on top of that, it would be digital ecosystem around the distributions as well as digital finance. Regardless of what True about to be, I think these foundations are key to serve customers across multiple segments, as mentioned, on consumer side, on the enterprise side and other related party. We remain firm on that piece. On the competition, we do expect that competition will continue on, having multiple prong of strategy anyway. So I'd like to address that we stand firm our strategy. Add on to that, related to the maturity of the markets, if we look real hard on how consumers behave and use the product and service. On mobile side, we still continue to see the growth in consumption. Thailand has roughly about 30-plus percent 5G penetrations. We have not reached 50% yet. In many countries ahead like China, it went on to 60%, 70%. And about to come on new service and applications as we've seen from AI related, they're going to be introducing more data on the uplink. So on the consumption side, I don't think we are near saturation on consumption. In our plan that we described earlier, we have factored in our midterm forecasts of how the consumption would grow on mobile, broadband and enterprise as part of our medium-term plan.
Unknown Executive: I think a lot of questions about the payout ratio and special dividend. I think as Khun Nattiya mentioned, when we look at the -- I think expect that investment in the future and also the growth prospect of our business. I think we have sufficient investment that we -- or cash reserve that we have within the company to invest in the growth and also provide, I think, extra return to the shareholders. I recall that also many quarters or even many years now, I think most of the analysts asked about payout ratio, whether it can be more than 100%. So when we does -- when we do that, then the question is also a little bit concerned on whether we have enough cash reserve to invest. And I just want to point out that we do feel confident in the industry right now, the dynamics, the growth industry, we do feel mobile, broadband, enterprise and also the new businesses that we are expanding into can provide sufficient growth for the future. And with the -- I think the current leverage status, we do feel that we are not taking on [ more risks ], we basically optimize capital structure that we have to be able to provide, I think, optimal return to the shareholders and also to provide growth for the business as well. We have deleveraged quickly since the time that we took over 3BB, that based on a lot of synergies that we create, the industry repair and also the growth in the business that we expanded into. So all those things gave us the opportunity today that we can do the thing that we think it's the most optimal to the shareholders.
Unknown Executive: Next we can have Ranjan from JPMorgan please.
Ranjan Sharma: Congratulations on the results. A couple of questions from my side. Firstly, on your guidance for EBITDA, if you can help us understand the major investments that you are planning on the OpEx side, which results in EBITDA growing slower than revenues. And I can completely appreciate that you're taking a longer-term horizon for our business rather as it should be. So if you can also walk us through the revenue opportunities that you can unlock with the investments that you're planning in this financial year. The second question is, there are related party transactions with GSA02 as disclosed in your release. I think the financing arrangements or details have not been disclosed, especially for GSA02, if you can share more details around it.
Nattiya Poapongsakorn: On the EBITDA guidance, I think basically, the IT is one of the big part that we would see OpEx costs coming into 2026. That's one of the big part. And then the second part would be on the content entertainment related business. That's the main second part. There could be a fair bit of some of the incremental in utility and maintenance stores are more likely in line with the growth of the network that we have been seeing. So those are the major ones that we would see.
Ranjan Sharma: So if I can just follow up. So the impact on revenues or the revenue opportunities that these investments can unlock in the next 3 to 5 years, if you can comment on that as well.
Unknown Executive: Let me put this way. Sorry, my voice a bit hard to understand today. Basically, if you look at last year performance, we did deliver higher growth on EBITDA than revenue. And I think probably going to be the same for the year before as well. But we can't keep that trend as we embark into a lot of new things. I think in the end, we want to make sure that we do spend on the things we need to spend to make sure that we modernize our system, both on the network side and also on the IT side because the business model has changed a bit. Actually, going forward, we also want to do a lot more things with our customers because to me, the real asset that we have is the vast base of customers, both on mobile, broadband and enterprise side. So to go to do new services, we need to modernize a lot of our infrastructure. So that's one part. What else we can sell, the channel that we're going to sell to them, the way you're going to sell to them, the personalization that we talk about all along and even the AI at the back end, right? So all these require investment, both in the network and in the IT system, plus in the capability of the people as well. All this, including the apps and everything we have to be modernized. So I think we are going through that journey. That's why you see a bit of an elevated forecast on CapEx for the next few years. We can't give you a pinpoint portion to go which one is which, but -- and those are directions we want to go. Whether it can unlock? Which revenue can unlock -- I think there will be a lot one mobile, we can optimize the package for each of the users. We can also lay on more detailed services. Same thing with broadband and enterprise, right? So all those, I think, hopefully, we can keep growing the ARPU. Then the question, why we forecast lower revenue growth this year versus last year? I think a lot of that is coming from the headwind on macroeconomics in a situation. If the country can grow at a higher GDP, we are happy to push the growth of the company as well. So I think that's more or less the first question you asked. We do hope that the -- I think, investor community understand that we want to spend a bit this year or next year to make sure that we have a stronger foundation to embark on the next growth phase of the company, right? I think for GSA, normally, it's -- I think, project finance. So it takes a bit of time to be able to get the funding from the bank. So we need to pass certain stage to be able to get the funding from the bank. So a lot of time we did a bit of the own funding first and then we get the loan back from the bank and then we use that money to reinvest in the next project.
Nattiya Poapongsakorn: This upcoming Friday, when we have the Analyst Meeting, I think the presentation from the management will lay out more clearly about the strategy and the growth that you asked.
Unknown Executive: Now we have Piyush from HSBC.
Piyush Choudhary: Congratulations for a set of results and special dividend. A few questions. Firstly, you mentioned about CapEx being higher, right, around THB 30 billion to THB 35 billion this year. In addition to this, can you talk about capital allocation and other growth initiatives? Like how much of capital will be going in virtual bank, data center in 2026, '27 and if you can, in 28? Just want to get the 3-year kind of capital commitment to the growth areas? And secondly, if you can talk about the outlook for the mobile and broadband ARPU for 2026, any initiatives being taken by you or your competitor to uplift ARPU? How is the consumer sentiment at the moment?
Unknown Executive: Yes. On the new investment through the JVs that we have set up, in the end, I think we estimate it to be about THB 8 billion to THB 10 billion over the next 2 years because a lot of those are in the JV format. So we don't hold 100% of the whole company. As for virtual bank, I think you know the detail from the regulation that the first year around THB 5 billion paid up. And if we want to exit DR5 and as we have THB 10 billion paid up. So that will be -- if you need to forecast something, then that's the number for you to look at. For GSA and other JVs that we have on the cloud as well, that mostly was subject to the project that we can secure. I think so far, we have disclosed up to GSA03. Anything you can maybe forecast the growth of the JV of the data center business and then work backwards for any capital commitment that we need to make. But in the end, it is proportionate to the shareholding level that we have.
Pratthana Leelapanang: For overall customer needs, which is get translated into our services, we continue to see and we forecast that the consumption will grow higher for both sides, mobile and broadband. For mobile, as mentioned, there are still huge amount under 4G moving forward to 5Gs that would help consume more and also uplift the ARPUs. For broadband, we see 2 important expansions. The first one is the expansion to home whereby they have not had our broadband before. At this point, the broadband penetration is roughly about 50-plus percent towards the occupied household. So there are room to expand on broadband in terms of customer. And second prong is in terms of consumption and services. We also see more demand in consuming broadband at home as well as extra services, inclusive of content and digital services, which cuts across back to mobile as well. So as those 2, we do expect ARPU to continue on increasing. The overall economic situation may taper off a bit of sentiment, that's why we also be mindful about how we offer the product and service for customers, what's the price point we are going after. So I think that's the big picture.
Piyush Choudhary: Just to clarify on that THB 8 billion to THB 10 billion over 3 years, that is AIS contribution, right, into the JVs over 3 years?
Unknown Executive: Yes, that's our position.
Unknown Executive: Now we have Khun Kijapat from Bualuang.
Kijapat Wongmetta: Congratulation on strong performance and solid results. I have a few questions. First is about the special dividend. From my calculation, I think it's over THB 50 billion for this special dividend. So I calculated that the equity part may drop like half. And can I imply that how it will go double? And at the same time, for the gearing ratio, could it also like go to 3x? And will it affect our credit rating? Do we have any debt covenant on DE ratio. This is the first question.
Nattiya Poapongsakorn: Yes, in terms of special dividends, it's over THB 50 billion. The equity definitely will drop and therefore the IE will substantially increase. However, I think your gearing number might be on the high side because as we presented earlier on our chart, we do not expect the gearing -- in this definition is net debt to EBITDA, whereby net debt already include the lease liability and the spectrum payable should not exceed to 0.5x net debt to EBITDA.
Kijapat Wongmetta: So we don't have it on DE, right?
Nattiya Poapongsakorn: No, none of our debt has covenant.
Kijapat Wongmetta: Okay. For the second question, I would like to ask about the -- in the medium term. Do we have, like, comfort range of gearing or equity level that would trigger another special dividend?
Nattiya Poapongsakorn: I think the questions around target gearing has been asked by many investors in the past. Our capital allocation framework doesn't fix on any target gearing. In terms of financial resiliencies, one key point is that we are committed to being an investment-grade credit profile. That's number one. Number two, we want to ensure that the leverage aligns prudently with the risk appetite we aim on the business growth. That also implies that we need to ensure that we have sufficient financial flexibility to exercise any future initiatives that we aim for, not just in the existing business that we are running, but also in new opportunities that we aim to grow. So rather than fixing on any particular target gearing, we actually look at where we want to grow the level of risk appetite and the prudent level of the balance sheet we aim at any given point in time.
Kijapat Wongmetta: For the last question, I would like to ask about the recent change in major shareholders in our key competitors. Do you think about -- does it -- will have any potential implication for the mobile and broadband industry?
Pratthana Leelapanang: We believe that we're always in the situation that in the market we all compete even before changing in major shareholder of competitors, every day we see mobile, broadband and even enterprise, we both compete in the arenas of providing service for customers. My belief is the focus of competition may shift a bit as they address in the public. And I think you pick it up as well. But once again, coming back to AIS, our goal remains unchanged, that we are expanding our digital infrastructures and building the foundations that we have said in the morning and there are some reinforcement along the way that we are investing in technology and building blocks to support that.
Unknown Executive: We have Khun Pisut coming back for a second round.
Pisut Ngamvijitvong: I have 2 follow-up questions. The first one is about data center. As also mentioned that AIS and the partners, we will have 200-megawatt data center capacity under 3 phases of GSA. But when I read your financial statements, a lot of restructurings inside. So just want to update about your economic stake on this venture on this business, I mean, data center, is it still 25% at the bottom line? And if this 200 megawatts being fully utilized, I mean, how much the amount of share profit we will be able to generate? The ballpark figures is [ 5-megawatts ] per year. And also, what is your capacity target in the next 3 to 5 years from 200-megawatt to at what certain level? My second question is about the 6G technology. As you may see some global leading operators increasingly investing into the low earth orbit broadband satellite business. My question is, have you been ever exploring into this new technology at this point? And also, will this be real thing or just a nice to have technology for telco to deploy at this stage in your view?
Nattiya Poapongsakorn: Okay. So under the JV where we invest for the data centers that have already been 3 phases. The first 2 phase is a JV among 3 shareholders. AIS has 25% share in the first 2 phase. On the Phase 3, it is a shareholding between 2 shareholders, where AIS has shareholding of 30%. You asked about the contribution, I think, because this is the early stage. So in the next 3 years' time, it might not be a big move to the bottom line yet unless we have more because at least the Phase II, Phase III, it only begin in 2027. So it will be fairly small to the bottom line in terms of share profit.
Pratthana Leelapanang: For the future of emerging technologies, [ LEO ] is a very important one. The low orbit satellite is the latest technology on a satellite whereby it can cover globally with multiple thousands of satellites cover all over the place around the globe. It will definitely support and complement other communications, especially on the outdoor and outdoor very far away as well as in the sea. So we see as the very much complement technology, even though in Thailand right now, there has no right to provide a service yet. And some have started to provide a service like NT. We look at it very carefully amongst many of the collaboration model. At this point, we may not be able to release any information, but we look at it very carefully. The second piece is 6G. 6G standardization may come out in 2030, putting extra important functionalities like sensing network and collaboration with mobile and satellites. So those pieces are upcoming, but not very fast. It will be the second way from now, maybe 2031 onwards. We also look at it very closely as well. Overall, for now, we understand that consumers, enterprise and businesses and others require to use Internet bandwidth whereby it can be served with the current technology of fiber and mobile 5G. We see upcoming uptick in consumption generating in the very near future from AI and a lot of interactivity of things to things that would require more bandwidth and a variety of connectivities. As an overall, we consider all possibility of technology we can adopt.
Unknown Executive: We have Khun Nuttapop from TNS.
Nuttapop Prasitsuksant: Two questions from me. On data center, I believe GSA is more external service. You didn't touch much about what you might need to build on your own to serve your enterprise business, if I may call. Is that already included in your guidance? Or do you prefer to go asset light for the enterprise service that you may rent someone else, including GSA? The second question on IT CapEx. It feels one-off to me when we talk IT CapEx. Is it going to be like that? Or it will be recurring for a few years? And may I ask whether it will be more the revenue unlocking factor, or I should see it as the long-term cost-saving machine? And you touch on retail channels with this IT investment. Can we dream of like open platform of the retail business or it has better efficiency of your product sales? Lastly, I would like to say, may need to please with your capital management plan nicely done and congratulations.
Pratthana Leelapanang: Maybe I address as the big pictures for infrastructures. As I mentioned, one of the very strong building blocks, new one coming in as the digital infrastructure is data center, cloud and AI. The data centers that we have built in GSA01, 02 and upcoming 03 are by and large, serving a very big computer system. That computer system will definitely serve in both cloud and AI in combined. That will be also be part of serving inside that we need to expand the system. So the answer is, yes, both inside, internal that we are expanding the system as well as for external customer. When it comes to external customers is both hyperscalers as well as the local enterprise. So I think that's the big picture of data center infrastructure. It is very important infrastructure for the modern AI era that must have locally. I haven't addressed the important piece so-called a sovereign cloud and sovereign AI, of which it will play a very important role as the backbone of the AI era that we are going after. In IT, as mentioned earlier, is the very important piece when it comes to IT, intelligence and AI. Software infrastructure as well as intelligent, which provide both as the customer experience, the personalization engines will help us uplift revenue. On the other side, it also provide automation and intelligent to serve to uplift the operation efficiencies. So both are very important. When I talk about operational efficiency, it cuts across network planning, optimizations, customer operation as well as internal operations. So the IT CapEx may be mixed with the OpEx that as a core engine for us to bring in intelligence from now on. Lastly, when it comes to retail, IT-related sometimes we call it omnichannel, is the distribution platform, whereby we would serve customer in many ways that they like, reaching them at the right point, right time with the most convenient. You can also imagine that with the ecosystem that we have been working with, the platform of the distribution will also open -- it has been open some for our partner to be on board jointly with AIS distribution platform. The answer is yes.
Unknown Executive: We have Khun Arthur from Citi, please.
Arthur Pineda: Two questions, please. Firstly, with regard to the THB 8 billion to THB 10 billion contribution that you were putting in into the JVs over the next few years, is this on top of the CapEx target that you've stated and the 15% long-term capital sales trends that you do it earlier? Or is that built into these targets? I'm just trying to better understand the free cash flow trends for the company.
Nattiya Poapongsakorn: It's on top of the CapEx.
Arthur Pineda: That's on top?
Nattiya Poapongsakorn: Yes. JV is not guided in the CapEx. CapEx is purely from operational core businesses guiding.
Arthur Pineda: Understood. And the second question I had is with regard to capital management. So you opted for a one-time bumper dividend instead of a staggered release of capital over several years, which I think would have allowed you to better match higher yield while your investments are in GSA, digital bank, are gestating. Why the urgency for an upfront dividend payment instead of an extended payment cycle wherein you could keep yields higher for longer?
Unknown Executive: I think in the end, you have always asked us whether we need the cash to do investment or we're going to release it back to shareholders. I think we have waived the option of giving one-time versus over a period. And then in the end, with the current situation, current environment, we do feel that giving a one-time could potentially maximize the shareholders' return. I can't give you much more than that. In the end, we will look at this, and we feel it's the optimal time to do so.
Unknown Executive: Yes. And last person, we have Khun Wasu from Maybank, again.
Wasu Mattanapotchanart: And I have one follow-up question for Khun Nattiya. So I think you mentioned that there are 3 key items for the OpEx increases that would impact EBITDA growth in 2026. The first one is IT OpEx, the second one is content and entertainment, and the third one is utilities. My question is about the first item, the IT OpEx. Could you please elaborate what is it for, the increase in IT OpEx for the 2026?
Nattiya Poapongsakorn: I think what both CEO and CFO mentioned earlier about the overall business strategy and how we want to serve our customers, that's all embed into both the IT CapEx and OpEx, which embed into the guidance of 2026. So I don't think we would be able to break down into the system. But basically, it incorporates both customer-facing engines as well as some of the back end data-related, data analytics engine that can help serve the hyperpersonalization, how we build the omnichannel to ensure that customer walked into whether online or offline, we'll be able to seamlessly -- we will be able to seamlessly deliver a seamless customer experience across different channels, how we upsell and cross-sell to customers, as well as some of the back end for operational efficiency.
Unknown Executive: Thank you for today's question. And please be reminded that you can still register for our Investor Day upcoming Friday, 6th February, at Pearl Bangkok Building. The main session will be from 1:00 p.m. to 3:30 p.m. in the afternoon half. So thank you all for participating and see you again in the Analyst Meeting or our Investor Day. Thank you.